Operator: Hello, and welcome to the LyondellBasell's teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. (Operator Instructions) I'd now like to turn the conference over to Mr. Doug Pike, Vice President Investor Relations. Sir, you may begin. 
Douglas J. Pike: Thank you, Glenn. Well, hello and welcome to LyondellBasell's fourth quarter 2012 teleconference. And I'm joined today by Jim Gallogly, our CEO; Karyn Ovelmen, our CFO; and Sergey Vasnetsov, our Senior Vice President of Strategic Planning and Transactions. And before we begin the business discussion, I’d like to point out that a slide presentation accompanies today’s call and is available on our website at www.lyondellbasell.com. I’d also like you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. These forward-looking statements are based upon assumptions of management which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. And actual results could differ materially from those forward-looking statements. For more detailed information about the factors that could cause our actual results to differ materially, please refer to the cautionary statements in the presentation slides and our financial reports which are available at www.lyondellbasell.com/investorrelations. Reconciliations of non-GAAP financial measures to GAAP financial measures together with any other applicable disclosures including the earnings release are currently available at our website www.lyondellbasell.com. Finally, I’d like to point out that a recording of this call will be available by telephone beginning at 2 pm eastern time today until 11 pm eastern time on March 1 by calling 866-454-2134 in United States and 203-369-1248 outside the United States, and the pass code for both numbers is 7068. During today’s call we will focus on fourth quarter and full year 2012 performance, the current environment and near-term outlook. With that being said, I’d now like to turn the call over to Jim.
James L. Gallogly: Thank you for joining our earnings call. As Doug mentioned, a set of presentation slides accompanies this call and is available on our website. Let’s take a look at slide number 4, and review a few financial highlights. The fourth quarter of 2012, was generally a solid quarter impacted by difficult seasonal trends as well as some specific items such as European restructuring cost, year-end bonus accruals, and the Wesseling cracker turnaround. In total, these items impacted the quarter by more than $100 million. Together with seasonality impacts, these items led to a decline versus the third quarters $276 million. However our results were significantly stronger than the fourth quarter of 2011. For the year, our income from continuing operations was $2.9 billion or $4.96 per share. The charts on the bottom of the page provide a good perspective of the quarter and the year relative to recent history. Within our portfolio, the drivers of strength were consistent during the quarter and the year. The Olefins and Polyolefins – Americas segment continue to benefit from the revolution in natural gas liquids. Intermediates and Derivatives also had strong performance as it continued to benefit from steady propylene oxide results and its own natural gas based advantage and products such as acetyls and oxyfuels. This advantage coupled with strong operations has been a consistent theme in both segments. Karyn and I will discuss some of the details later in the call, but first I want to discuss some of our 2012 accomplishments. If you turn to slide number 5 of the presentation, I will begin with our 2012 environmental, health, and safety performance. I am extremely proud of our accomplishments in this area. The trends on the charts speak for themselves, but to understand them, you need to consider that our historic results were already good. Today, we may well be the industry leader. I know that many of you wonder why we place so much emphasis in area. It’s really quite simple. We care deeply about our people and the communities in which we operate. Good environmental, health and safety performance aligns with reliable efficient operations. On page number 6, we outlined some of our key accomplishments. In the interest of time, I’ll highlight just a few of the many achievements. First, prop’s reached a record level. Our total annual shareholder return was 89%. Also view that we’ve followed this over the past several years, know that we always emphasis cost control. I am proud that for the fourth consecutive year, we offset inflation and maintained flat underlying costs, while improving our safety, operating and financial results. In the finance area, our strong cash flow enabled us to further improve our balance sheet. Moody’s elevated the Company’s credit rating to investment grade. We were also able to reduce our interest expense and pay $2.4 billion in dividends. This equates to a 30% yield on our 2012 opening share price and greater than the 7% yield on the end of year price. In U.S. manufacturing, we raised our percentage of ethylene produced from NGLs averaging close to 85% during 2012 versus 75% during 2011. We also continued refurbishing our assets completing maintenance turnarounds at two of our largest sites, Channelview and Basell AF. These investments are paying off in our reliability and production metrics. Commercially we define new expansion options at our Channelview and Corpus Christi sites. In addition, the permitting process for methanol plant restart and La Porte ethylene expansion projects recently moved into their final stages. Throughout the year, our NGL and condensate supply programs provided a competitive edge contributing to what I believe was industry leading performance. Beyond the U.S. olefins area, our Chinese propylene oxide project advanced to the Memorandum of Understanding stage. In Europe, our butadiene expansion of ethylene is well into construction within estimated completion date of mid-year 2013. We have also restructured the European commercial organization to better reflect the market environment. We are consulting with our works council on additional actions in European manufacturing and R&D to further improve our cost structure and competitiveness in the region. Overall 2012 was a very successful year, both in terms of our annual results and our progress on growth initiatives. On the bottom of the page, we show EBITDA results by segment. As I mentioned, the O&P-Americas and Intermediates and Derivatives segments were standouts. The O&P-EAI segment remains in trope conditions necessitating the focus on improving cost structure and market segmentation. Our refinery performed inline with other large heavy, solid crude Gulf Coast refineries. Let’s turn to slide number 7, and look at some of the metrics that drove our performance. Across the top of the page, we have plotted our key volumes. I want to focus your attention on U.S. ethylene production. Our cracker operations have been rock solid. We have seeded name plate capacity in both the third and fourth quarters of 2012. Ethylene margins have been excellent during this period. Our reliable operations have allowed us to capitalize fully on the opportunities presented. U.S. polyethylene spreads have been relatively consistent. European Olefins & Polyolefin margins have been under pressure in 2012. Oxyfuel margins have been excellent as you can see on the bottom right hand part of the page. The natural gas to brine oil ratio has been an important driver of this trend. The final part shows the key industry metric for our refinery. While the Maya 2-1-1 spread has increased with time, it only tells part of the story. Our product values such as petroleum, coke and LGPs have negatively impacted our results. Overall, these charts provide a reasonable perspective of the margin and volume factors that have contributed to our success over the past several years. I'd like to now turn the call over to Karyn to discuss our financial performance.
Karyn Ovelmen: Thanks Jim. Please turn to slide 8, which shows our fourth quarter and full-year segment EBITDA. The fourth quarter generally reflected the trends and conditions that prevailed throughout 2012 with the overlay of typical seasonal items. The O&P segment results reflect the contrast between North America benefiting from low NGL base cost, while EAI results tend to reflect the impact of crude pricing, a weak regional economy and weak industry supply demand balances. In Intermediates and Derivatives, the chemical products led by PO and PO derivatives, have continued to realize good study results. Oxyfuels posted seasonally good results, but declined relative to the third quarter. In contrast to the share related benefits enjoyed by O&P-Americas, and I&B segments, the refining segment margins were negatively impacted by low byproduct values. Jim will cover details a little later. The bar-chart on the right side of the page shows relatively similar trends across the segments for the full year data. Now, let's turn to slide 9, and see how we deployed the cash during 2012 and over the past two and half years. Operations generated approximately $4.8 billion of cash during 2012. We invested $1.1 billion in CapEx, it was slightly more than a third of it devoted to our growth program. Cash income taxes were $260 million and $640 million was incurred in financing costs and interests. During the year we paid slightly more than $2.4 billion to our shareholders through dividends, while exiting the year with slightly more than $2.7 billion in cash on the balance sheet. On the right, you can see the disposition of cash since our emergence. Most notably you can see that in the last two and half years, we have returned cash of approximately $5.3 billion in dividends to our shareholders, while reducing our debt by $2.8 billion. Regarding future use of discretionary cash, as of the first of the year, the Dutch tax constraint that limited our share repurchase flexibility, expired. Dutch law requires shareholder authorization for share repurchases. We are discussing our options with the supervisory board regarding going to shareholders or authorization, at the May Annual Meeting of shareholders. If we do seek and receive shareholder authorization in May, the number of shares that ultimately may be repurchased if any and the timing, and manner of any repurchases would be determined by management with the prior approval of the supervisory board in light of prevailing market conditions, our available resources and other factors. Let's turn to slide 10, and review the history around some of the key cash flow items. The charts are generally self-explanatory. And the top left chart consistent with the Company’s philosophy of flat to down costs, our underlying cash fixed cost have essentially been unchanged since 2009 despite inflationary pressures. Our capital program has increased as we invest in growth opportunities. Working capital has remained flat in the chart on the bottom right brings it all together showing increasing free cash flow. Since this is the beginning of a new year, I expect that some of you may have some modeling questions. Regarding capital, we are planning to spend approximately $1.5 billion during 2013. Approximately half of this targeted toward our growth program. We expect cash interest expense to be approximately $260 million based on $4.4 billion of total debt and an average interest rate of approximately 5.6%. Additionally there should be an estimated $5 million per quarter to amortize financing fees. Annual book depreciation and amortization should be slightly higher than the $983 million incurred during 2012. We plan to make regular contributions that total approximately $210 million to our pension programs and estimate and expense of approximately $70 million. We currently do not anticipate any additional special pension contributions. Regarding taxes, we currently expect a book rate of approximately 31%, cash taxes are expected to increase from 2012 to around 29%. Our anticipated cash tax rate is higher due to the high percentage of U.S. earnings coupled with relatively low depreciation and interest reductions. Unlike 2012 the current year will not benefit from an accelerated depreciation under the U.S. Jobs Act, prior year refund or a prior year interest deduction carry forward. With that, I’ll turn things back to Jim for a further discussion of our business results. 
James L. Gallogly: Thanks, Karyn. Let’s discuss segment performance beginning on slide number 11, with Olefins and Polyolefins – Americas. Fourth quarter EBITDA was $769 million, a decline of $51 million versus the third quarter. However, excluding the impact of the third quarter, lower cost to market inventory credit, underlying EBITDA increased by $20 million. For the full year, our segment EBITDA was $2.96 billion, an outstanding year. Let's discuss a few of specifics that put the quarterly results in perspective. First, relative to the third quarter, our ethylene results improved, for the second consecutive quarter, our production exceeded name plate capacity. Ethylene margin expanded as the sale price increased by approximately $0.02 per pound. And polyolefins, our average polyethylene price increased by approximately $0.01 per pound versus the third quarter, while polypropylene price increased by approximately $0.03 cents per pound. Compared to the third quarter, polyethylene volumes were unchanged while the polypropylene volumes declined by 6%. Within polyethylene, exports were approximately 20% of sales. For the full year, results surpassed 2011 by $823 million, primarily due to our higher ethylene margins of $0.08 per pound and strong ethylene production. Polyolefin results also improved versus 2011 contributing approximately 50% of the segment EBITDA. Overall, 2012 was an excellent year. The fundamentals that supported the segment performance last year have remained untapped, but the global cost advantage has expanded. Our efforts to increase NGL cracking in the United States have positioned us to further exploit this advantage. Looking to the first quarter, ethylene margins have been strong. Ethane and propane costs were low in spite ethylene prices have increased. We are also seeing recovery in propylene and polyethylene prices. Let's turn to slide number 12, and review performance in Olefins and Polyolefins, Europe, Asia and international segment. Conditions in this segment have been difficult. During the fourth quarter, exclusive of the $50 million joint venture dividend, EBITDA was breakeven. For the full year, EBITDA was $561 million. During the quarter, our results were negatively impacted by several items including the $35 million restructuring charge and approximately $20 million related to the Wesseling cracker turnaround. These negative items more than offset the credit related to our raw material contract renegotiation. Within the business, underlying olefin margins improved by approximately $0.04 per pound, contributing to an approximately $30 increase in EBITDA. In Polyolefins, we experienced a typical year-end slowdown. Polypropylene volume declined by 4% versus the third quarter. As a result, our underlying Polyolefins EBITDA declined slightly. Our combined polypropylene compounds and Polybutene-1 results declined by approximately $40 million, following a strong third quarter. Most of the decline is related to the typical December slowdown while the balance relates to timing differences between raw material and product price movements. For the full year, segment EBITDA declined by approximately $333 million from 2011, reflecting weak European economic and industry conditions. The decline reflects lower volumes and margins in commodity olefins and polyolefin’s while our differentiated product results were relatively unchanged. Additional contributors to the decline were the turnaround activity at the Wesseling cracker and lower joint venture dividends. 2012 was a difficult year for European olefins business. Through January, we have not seen a significant change in this environment. European olefin operating rates have been in the mid-80% range, consistent with these conditions, we're consulting with work councils to further reduce cost at some of our facilities and within R&D. The fourth quarter restructuring charge is related to these efforts. Now, please turn to slide number 13 for a discussion of our Intermediates and Derivatives segment. Fourth quarter EBITDA was $305 million, a $170 million decline from the prior quarter. For the full year, the segment attracted record EBITDA of $1.65 billion exceeding 2011 by $261 million. The majority of the quarterly decline is attributable to typical seasonal trends in oxyfuels. This accounted for approximately $100 million of the decline versus the third quarter. Propylene oxide and derivatives also experienced some seasonal volume decline. This was normally offset by increased sales in the aircraft deicers. However, warm weather in certain areas caused deicer demand to be weaker than normal. Intermediate chemical results declined by approximately $20 million also primarily due to seasonal factors. For 2012, the $261 million EBITDA increase is primarily attributable to increased oxyfuel margins. Oxyfuels represented slightly more than a third of the 2012 segment EBITDA. Results for some PO derivatives declined versus a very strong 2011, but 2012 was still a solid year. Most products within our intermediate chemicals posted improved results, although ethylene glycol margins declined. During 2012, the segment benefited from the first dividend from of our Chinese joint venture and the payment from the prior year hurricane related insurance claim. Thus far in 2013, propylene oxide and derivatives have experienced a seasonal rebound, but aircraft deicing sales have remained subdued. During the quarter, we have maintenance turnarounds at propylene oxide plants and our ethylene oxide facility. In the chart on the bottom right, you can see that oxyfuel margins have improved during January. This improvement is earlier than typical. We believe this is partially related to issues at competitor’s facility and strong demand from South America. Let's move to slide number 14 for a discussion of the refining segment. Fourth quarter EBITDA was $122 million. During the full year the segment generated $481 million of EBITDA, a decline of $496 million versus 2011. Compared to the third quarter, underlying refining results were relatively unchanged. However, the third quarter benefited from a $24 million legal recovery. During the fourth quarter, the Maya 2-1-1 spread averaged $24.36 per barrel and crude throughput averaged 255,000 barrels per day. The value of byproducts such as petroleum, coke and LPG’s continue to negatively impact refinery margins. Thus far in 2013, the Maya-2-1 spread has averaged approximately $21 per barrel. First quarter operations will be impacted by scheduled turnaround maintenance at one other refineries cokers and crude unit. This is currently estimated impact to impact first quarter crude throughput by 80,000 barrels per day. Let's check back some of the details and think about the quarter and their timid look a little more broadly. Overall, fourth quarter results were good. Our North America ethylene assets operated extremely well and raw materials remained favorable. Conditions in Europe were difficult and we’re pursuing actions consistent with this environment. Across the company, we experienced typical seasonality. January activity has rebounded. 2013 is starting well with similar teams dominating the business environment. NGL prices are favorable and we’re benefiting from olefin and polyolefin price increases. Oxyfuel spreads have moved off at winter lows, and the Maya 2-1-1 spread has been in the low $20 per barrel range. Overall, with the exception of European olefins and polyolefin’s conditions seemed to be improving and our people are working hard to build on our strong 2012 performance. Our growth projects are progressing. We are in the final stages of permitting a methanol restart project and look forward olefin expansion. We have announced additional high return growth projects at Channelview and Corpus Christi. We look forward to providing more details on our exciting plans at our Investor Day conference which is scheduled for March 13, in New York City. We hope that you will be able to join either in person or via webcast. We are now pleased to take questions, Lynn.
Operator: Thank you. (Operator Instructions) The first question comes from Chris Nocella, RBC Capital Markets.
Christopher J. Nocella – RBC Capital Markets: Yes, good morning. There has been some pail since price increases recently. But poly prices are penetrating in line with olefins. So just wondering, what type of demand incorporating environment would you need to see for your resin prices to move a little bit higher and the olefins prices, if you capture some margin in that part of the chain?
James L. Gallogly: Chris, we’re seeing [nickel] looks like in January there is more price increases on the table for later months. One of the things that we are seeing very clearly in the market right now is, due to beginning of the turnaround season there’s some operating issues, that a couple of our competitors spot prices are really very, very strong right now. In certain instances that causes us not to turn that ethylene into polyethylene.
Sergey Vasnetsov: We sell that, in despite of that premium. That’s causing there to be bit of a shortage in resin supply and because of that we are able to push price increases. So all of these things have a balancing effect and we’re seeing prices increase in both olefins and polyethylene at this point.
Christopher J. Nocella – RBC Capital Markets: Thank you. Can you just walk through the puts and takes of the recent large increase in propylene price as opposed to your portfolio, imagine it will be all patches for the derivatives, but just how do you look at that?
James L. Gallogly: Yeah, propylene prices have been coming up. As you know, we do make a fair amount of propylene and that’s been good for us. That puts some pressure on our polypropylene business. There is usually a lag in getting that push through the market and our propylene oxide business, there is also a bit of a lag, but remember that a lot of those are contracts that are indexed and so we’ll pick that up in fairly short order again in those contracts. So there is some impact on us, generally its pretty neutral thing.
Christopher J. Nocella – RBC Capital Markets: Great, thanks.
Operator:  The next question comes from Robert Koort of Goldman Sachs.
Robert A. Koort – Goldman Sachs & Co.:  Thanks. Jim, I think in the past, you talked about some skepticism about build rates or some of the new capacity in the U.S. and in your role as a licensor, you have a good look. Can you give us an update on what you are seeing there?
James L. Gallogly: Yeah. At this point in time, you don’t see a lot of people out there trying to license polyolefins plants, we heard of a few things that are out there on the horizon, but they are out there in the distance a bit. They are usually related to a PDH unit in the polypropylene. We’ll see if all of those projects happen. I'm a bit more skeptical, the most on this propane advantage, it's very, very strong right now, but as you know propane unlike ethane can be put on a boat. And over time, there will be more propane export here in the United States. You see people putting those export facilities in place even this year with some expected expansion over the next couple of years. The E&P guys simply are not going to sit here and let propane prices advantage downstream users so much without taking action. So I think some of those projects won't go forward that have been announced. On the ethylene side, there’s been a lot of announcements. I think there's a reasonable number of those projects that will go forward, but we’ll see about some of the more recently announced ones whether they will actually happen. We continue to steady our condo cracker, but our strategy has been pretty clear. We are going to work cheaper debottlenecks and get that capacity up very, very soon. As you know, we’re talking 2014 to a look forward. We’ll talk more on Investor Day about our Channelview and Corpus Christi assets, but I think you will see some very, very interesting strong return projects there. We will beat the competition getting that ethylene to market.
Robert A. Koort – Goldman Sachs & Co.: And have you sensed any increased willingness of the mid-stream guys to sell fixed-price ethane, I know they’ve started selling the fixed price gas deals, is there any chance that can happen?
James L. Gallogly: Right now, there seems to be no reason for us to look at that. And prompt barrels are readily available, inventories are very high on ethane, and so we’re feeling very good about our position at this point in time.
Robert A. Koort – Goldman Sachs & Co.: Thank you.
Operator: Your next question comes from Andy Cash, SunTrust.
Andy W. Cash – SunTrust Robinson Humphrey: Hi, good morning, Jim. I was curious if you could give us your perspective on your naphtha based assets in light of the natural gas environment in the U.S., on the one hand maybe it makes sense to try and spend them off or somehow exit. On the other hand, maybe there’s a good reason to keep them. Maybe it’s not a good choice right now. So I am just curious if you could give us your perspective on that?
James L. Gallogly: Yes, most of our naphtha based assets are in Europe. We're looking at alternative feedstocks. There will be some NGLs available maybe a little more, some condensate pricing a little differently than they used to because South Texas is providing lot of material into the Gulf Coast now and some of the Algerian condensates and feedstocks like that are now going into Europe. And so, that's a bit helpful to us. We're looking at our other supply dynamics, but simply put Europe is a tough environment right now and so we're doing what we can about that. And that's taking cost out. We're extremely disciplined on that and we've already achieved a lot and we're in the process of doing more.
Andy W. Cash – SunTrust Robinson Humphrey: Okay, so…
James L. Gallogly: These assets will get better. Remember, we're in a trough environment. And as the world economies come up, those assets will improve and China is showing signs of improving. And when that happens, some of the Middle East product that's flowing into the Southern Europe will begin flowing more into China and we should see an uptick in Europe. 
Andy W. Cash – SunTrust Robinson Humphrey: Okay. And if I could ask another question, you mentioned China, I think the last couple of MTO plans that are built there are based on imported gas base methanol. And I am curious, how do you view the outlook for MTO plants over there and how they may impact China’s appetite for the polyolefin imports?
James L. Gallogly: Well, there is some added capacity that's coming on. Some of that's fairly, well – they were expensive capital projects. We'll have to see how the returns are, but I think that will keep a bit of a lid on how much more of that goes forward. The United States should become a much larger exporter. We are at 20% here on the fourth quarter, but we’re typically more 15%. But as new capacity comes on line it will not just be the Middle East bringing low cost capacity into Asia, it will also be the United States. And so, that should put a bit of a lid on some of the expansions that are announced there. Simply put they won't have the competitive price advantage that we have in these lower cost environments.
Andy W. Cash – SunTrust Robinson Humphrey: Thank you very much. 
Operator: Your next question comes from P.J. Juvekar
P.J. Juvekar – Citigroup: Okay, hi Jim. As the midstream guys are adding capacity all over the place and first question is on shale oil from Bakken. When that begins to come down to the Gulf Coast, how do you see your cracks were changing and would you go lighter on your refinery?
James L. Gallogly: Some of that product is getting to the Gulf Coast right now and we are lightening up our crack some. We typically talk about the advantage of heavy deeply discounted sour type barrels, but right now, as you know the WTI/WTS barrels are very, very competitively cracked. We can crack those barrels too and we are starting to bring more of that product into our refinery. I won't be real specific about it because this is competitive information, but we do recognize that advantage. There are pipelines in place, moving some of that product down right now and one of the things that’s happening in our turnaround is we are doing some work on our smaller crude unit to open up some of the flexibility there to crack even more efficiently some of these lighter barrels. I do want to mention though that overtime, heavy Canadian oil is going to be extremely important to this refinery. It’s not all getting down here today, but as time goes on that will become more and more powerful to an asset like we have.
P.J. Juvekar – Citigroup: Okay. And then secondly on ethane pipelines, we’ve seen this Conway MacKenzie spread on ethane has narrowed recently. Where do you see that going in 2013 and what’s the impact on you?
James L. Gallogly: Well, I think this is a good new story in all accounts. Ethane was very, very cheap in the Midwest, and now it’s also very, very cheap in the Gulf Coast. And the difference between the two is really a transportation difference and so we are able to source feedstocks competitively price up in the Midwest as well at the United States. So it’s a good new story on both fronts. We don’t have the same brilliant discount that we had last year in 2012, as rejection kind of value economics, but we now have rejection kind of value economics in the Gulf Coast too.
P.J. Juvekar – Citigroup: Thank you.
Operator:  Your next question comes from Nils Wallin, CLSA.
Nils Wallin – CLSA: Thanks for taking my question and good morning. Building on the past question with ethane rejection, I was curious as to what you thought the kind of max limit there would be in terms of ethane rejection going forward within the pipeline limits. People have been talking about 200,000 barrels a day, but of course there’s additional ethane capacity coming online. So I was wondering if you had a view what you thought ethane rejection might be this year.
James L. Gallogly: It’s a bit hard to say, but that 200,000 barrel is inline with what we’re seeing. Inventories are very high and all of that is putting downward pressure on ethane. And at some point you can’t reject certain amount, if you have a burner tip spec, so it all feels good. 
Nils Wallin – CLSA: Got you on that one. And then just on your polyethylene and polypropylene sales sequentially, it looks like polyethylene was probably flat sequentially but this is obviously versus the industry which was down was polypropylene was down sequentially but a lot more than the industry. So was there something that you were able to do in your plans to preferentially move more polyethylene or did you take some share or is it just a better export opportunities for you? 
James L. Gallogly: Well, we’ve been running our polyethylene assets hard all the time and so I don’t know that we increased our share but good solid operations. We are at above doing polypropylene and that’s why that’s down a bit. I think the good new is, the assets are making us a lot of money. Olefins we set quarter-after-quarter flat records in multiple places and so, running above name plate. We made money where the money could be made. Polypropylene didn’t have a very good margin, we did have a (inaudible) doing, it had very limited impact but it did affect our volume.
Nils Wallin – CLSA: Thanks very much.
Operator: The next question comes from Hassan Ahmed, Alembic Global. 
Hassan I. Ahmed – Alembic Global Advisors: Good morning Jim.
James L. Gallogly: Good morning. 
Hassan I. Ahmed – Alembic Global Advisors: Quick question about returning cash to shareholders, I know a couple of moving parts here, particularly with regards to the share buybacks. As Karyn mentioned the supervisory board approval and the like, but just wanted your internal sort of thought process with regards to the balance between special dividends and share buybacks. I mean said differently, is there a particular sort of special dividend payout ratio you guys are thinking about internally beyond which you would sort of indulge in buybacks as well?
James L. Gallogly: Let me make a couple of comments and then I will let Karyn add to it. First, I think, it is extremely important to recognize how disciplined we’ve been in a couple of different areas. First on cost, as I mentioned in the early remarks, we’ve maintained cost flat. We took $1 billion out of the cost structure in 2009 and then have beaten the inflation in the last several years. We operate with 13,000 people, so we are extremely disciplined. On the capital side, we underspent our capital budget for 2012 by several 100 million dollars. We have done everything we can to make sure that we’re spending the money efficiently and not spending just because in the budget it doesn’t mean we want to spend it. We had $2.4 billion of dividends in 2012 and we said we would return discretionary cash. Our philosophy has been that, we said we would do that either in terms of special dividends or share repurchases. Up until this year, we really couldn’t do share repurchases, because of tax issues and because of market concentration issues. I think what we just described to you in our earlier comments was, we have to go to shareholders under Dutch law, we have to talk to the Supervisory Board first, and we have a shareholders meeting in May and it could be the possibility we have both of those options available to us depending upon votes, those kinds of things in 2013 compared to 2012. But I want to be very, very clear on one point. We returned discretionary cash to our shareholders and we have growth projects with very, very high return, but what we have done over the last couple of years speaks for itself. Karyn, do you have anything else you would like to add.
Karyn Ovelmen: No, just to reiterate, there has really been no change to our financial policy or practice of returning discretionary cash to shareholders. Potential buyback mechanism would really just be another alternative to returning value to shareholders. So if shareholder authorization is sort, management and the supervisory board will look at all those considerations.
Hassan I. Ahmed – Alembic Global Advisors: Fantastic. And a quick follow-up if I may. On the regular dividend side of it, obviously it’s a nice chunky $1.60 in terms of a regular dividend. But again just trying to understand the thought process over there as well that at least historically the way I think about regular dividends is, that’s A companies sort of relative confidence in trough earnings power of that company, right. Now we clearly are in a capacity utilization trough globally. Yet, this is the second consecutive year, 2012 is where you’ve earned north of $4 a share in a trough. So the question basically is, is there further potential for a regular dividend boost as well?
Karyn Ovelmen:  Yeah, so our current regular dividend what said is reflective today of our investment grade metrics and our strong free cash flow profile. So we have set this at the high end of the yield and payout ratio, as it relates to our chemical peers as well as well above the S&P 500. So it’s reflective of our free cash flow versus our peers, but it also leaves us room for us to grow it overtime. So currently our policy is to continue pay the regular dividend, increase it over time. So sustainable for ever growing regular dividend, which assuming we’ve exhausted any other near-term positive growth investments. We will continue to potentially supplement this with periodic returning of value to equity shareholders as we did in 2011 and just recently in December with the special dividends, but the amount and timing of any future increase that’s currently been evaluated by management and the supervisory board.
Hassan I. Ahmed – Alembic Global Advisors: Very good, thanks so much.
Operator:  Your next question comes from Kevin McCarthy, Bank of America.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good morning. Two questions Jim on propylene. First off, in periods like first quarter of 2013 when we get soaring propylene monomer prices, can you comment on whether or not you can run long through feedstock mix adjustment and metastasis and if so how long can you run? And then second, can you provide an update on your new metathesis unit at Channelview and what that timing might look like for the 0.5 billion pounds?
James L. Gallogly: Yeah. Kevin, at this point in time, we are running what we call double dimmer mode in our metathesis unit. We are turning ethylene into propylene because propylene prices have really blown out, and is profitable to us. When you think of how wonderful spot values are in ethylene at the moment, to think of using those volumes and putting in propylene tells you, just where propylene prices are. So they are running double dimmer or making propylene and selling that into the market. In terms of the expansion of that metathesis unit, we’ve basically taken that off the table. I think given the announcements of these PDH units that multiple companies are suggesting. We don’t think that make sense. It did at the time, but I think, as I mentioned earlier in the call, I think people are bit over reacting to where propane is. This is not the Middle East, the government mandate decided they'd like to see extra capacity built using their own natural resources. In the United States we can export freely. The E&P guys are going to put this product on the board. And over time, there will be plenty of propane, just like plenty of ethane. Propane will start to trade closer to market prices because it's much easier to export it. And so with the amount of capacity I think there is possibility open to build that long. That's positive for us in some ways because we make a lot of propylene oxide and obviously we have a couple of polypropylene plants. But that’s making to reevaluate in cooperation with the rest of the team, that metathesis expansion. I think our money is better spent getting these big bottlenecks down on our ethylene units.
Kevin McCarthy – Bank of America Merrill Lynch: Very interesting, that’s helpful. Second question if I may on ethylene monomer. It seems as though you continue to operate quite well. Can you give us a feel for how much above nameplate you’ve been able to run your crackers in the United States and what that has meant for the amount of volume you’ve been able to move into the spot market at premium prices and impact on profit there? 
James L. Gallogly: Well, we’re always talking a couple of percentage points, nameplates is hard to exceed, but having said that, simply being able to do that a couple of quarters in a row. I can’t emphasize enough. In the last two years, we’ve spend a lot of money doing massive turnarounds at our crackers. We’ve done OP-1, OP-2 at Channelview. We’ve gone into almost every one of our units. We did Corpus. We did Morris. We’ve got these as such fresh and ready to run when we have the opportunity. A couple of years ago, when things weren’t as good, we said we’re going to get these things prepared to be reliable and make money when the sun starts to shine and so that’s happening. We are delivering on it and we’ll keep trying our best. We put huge emphasis on operations as you no doubt see. Now, in terms of the spot, we sometimes dial back polyethylene and we talked about fourth quarter exports, we can dial back exports and turn that into spot because there is some people short right now coming into the turnarounds and buying lot of product curve.
Kevin McCarthy – Bank of America Merrill Lynch: Appreciate the thoughts. Thank you.
Operator:  Your next question comes from Mr. Mike Ritzenthaler, Piper Jaffray.
Michael Ritzenthaler – Piper Jaffray: Good morning. I just wanted to ask a follow-up on the naphtha based assets questions that you had addressed earlier. Can you discuss the EBITDA impact of the various puts and takes? You talked about averages and so forth that happened in 4Q and then can you give us a sense for the cost saving initiatives in the international O&P segment that have been completed and how much further you believe that has to go this year?
James L. Gallogly: Yeah. In terms of what we did at Wesseling, we mentioned that was about $20 million impact to that turnaround and margins weren’t that great. We were able to cover a little bit here and there, but it was back $20 million. There is always an expense side to it turnaround as well and we don’t put those numbers out technically. In terms of what we have done already, I think you have to recognize that the time we do the action, it take a couple of years to get a payout in Europe. It’s different than the United States. We have already at least in the neighborhood $50 million. We are working on a couple of more pretty significant items. Because we’re in discussions with the works council, we don’t make those numbers public, because it’s appropriate that we have that dialog with our employees. I am really proud of that group too because under the tough conditions that they’ve had they are still – when you look at competitive pricing and the way we run the assets, we’re right up there in the top quartile and the values we receive for our products is just a tough environment. So we’ve been very respectful to our works councils, working with them closely, but we’ve also been very clear the cost have to come down that’s a lever that we can use and we’re going to.
Michael Ritzenthaler – Piper Jaffray: Okay, great and then on the current efficiency in North America as well I guess it’s a similar type of question, but with ethane having hit something of a bit of a floor here at least in the near-term. What other levels can you pull from an efficiency stand point like outside of debottlenecking to incur growth and what – can you just give us a flavor for where those types of things are working on?
James L. Gallogly: Well I think that we continue to increase the amount of ethane that we crack. We set it fairly quickly, but 10% change last year, and the amount of NGL’s that we cracked was – and that's very, very strong. That took a lot of hard work and engineering, a few tweaks and things, doing a little debottleneck here and there to get that done. We have more of that coming. It won't be that order of magnitude, but we're bringing more ethane into certain facilities. Condensates, we're getting from South Texas and has been a nice strong plus. So, we work it every day. We optimize the crack, and I think it's showing up in our financials.
Michael Ritzenthaler – Piper Jaffray: Ok thanks.
Operator: Your next question comes from Vincent Andrews, Morgan Stanley.
Vincent Andrews – Morgan Stanley: Thanks. I had to hop off the call for a moment, so I hope this hasn’t been asked, I don’t think it has. Jim, you sounded still a little pessimistic about Europe, so I wanted to ask you the bottom right hand corner of that O&P, Europe, Asia, and International slides got some pretty nice improvement in polypropylene margins and I guess being just a little bit above breakeven isn't so terrific. So I can understand the sentiment. But do you think the move that we've seen so far in January, I mean, how sustainable do you think it is, what do you think is driving it and what would have caused it to reverse? 
James L. Gallogly: Yeah. Well right now I'd still say that there is excess capacity. We do our best to achieve value in the way that we sell our product, but I wouldn’t want to say that we see any kind of a significant upward trend in Europe at this moment in time. I will remind everybody that in the second quarter of last year when naphtha prices fell fairly rapidly we had an outstanding quarter in Europe. Those things can happen again. But I would say that Europe's in trough conditions. What could improve is that, we are seeing signs of China picking up and if that trend continues that will take some pressure off of Europe and things will get more or like they were in 2010 I hope. And then as the cycle improves, we will do even better. But right now it's still trough.
Vincent Andrews – Morgan Stanley: But just in terms of where that polypropylene margin is, should we be expecting that through the first half of the year or no real deal?
James L. Gallogly: It’s a bit difficult to call, there is some moments when it looks little better, get a few price increases, but before I forget to mention this, we also have some pretty differentiated uses of polypropylene. Remember that we have a compounded business that is very strong. It’s always seasonally a little often the fourth quarter is, holidays were taken by auto manufacturers, but that business is super strong business for us last year and we hope that we’ll see that again in ’13. But overall now that – yeah consultant calls on polypropylene prices that can change in 30 days, we just have to see how the market develops. 
Vincent Andrews – Morgan Stanley: Okay and then just as a follow up, on the last call you talked about MLP’s and you’re obviously very specific, but it come to us when you had to sign a (inaudible). I am just wondering if in the mean time you ruled any thing out in terms of what you may be able to do with that structure. 
James L. Gallogly: No, we haven’t rolled anything out. We‘re doing an intense study, I think for a fair number competitor, and doing the same thing. It is a potential option for us and we want to give it do consideration, discuss it with the supervisory board and but we’re not at a decision making point yet. 
Vincent Andrews – Morgan Stanley: Okay thanks very much. 
Douglas J. Pike: This is Dough. I am going to have to apologize. We've got about seven minutes left or so in the allotted time for the call. So we will take as many calls as we can. So if people just kind of limit their calls, and I will apologize if we can't take all the calls, we still have a pretty long queue. So we just apologize in advance. Gwen, we will just take the next question.
Operator: Thank you. Your next question comes from Duffy Fischer, Barclays Capital. 
Duffy Fischer – Barclays Capital, Inc.: Yes, good morning.
James L. Gallogly: Hi, Duffy. 
Duffy Fischer – Barclays Capital, Inc.: Jim you’ve talked about at different times some upside from the JV’s particularly the ones in the Middle East as those can run a little more efficiently than they have. Where do we stand on that and how much more upside is there as those give up to kind of world class standard running.
James L. Gallogly: Yeah. Well, I think our one JV has been returning dividend very nicely as it runs well. The PDH unit and the polypropene joint venture also there in Al-Jubail had some hiccups when it first started. That was the world’s largest PDH and as you’ve seen from the unit here in the United States, those aren’t the easiest things to run. We seem to have solved the issue that we had and we’re up to rates in the PDH unit now and hopefully that grows to profit. In an early joint venture like that, you have to pay down some debt and all before you start issuing significant dividends. I think we have made the comment before. We have good earnings from those joint ventures. We just don’t know always see the dividends and that’s what we reported in our earnings. So good operations, improving highly competitive assets and but unfortunately as dividends are paid kind of in a lumpy fashion and little hard to predict in our earnings. I can’t say much more than that, but the assets are running well now.
Duffy Fischer - Barclays Capital, Inc.: Okay, great. And then you had mentioned condensate being a benefit for you, couple of questions back. And a lot of that's coming off the Eagle Ford. So others are doing several projects, one to gather condensate say little more efficiently, but also to put a pipeline to kind of get to the river system. So on one hand that helps you and that you get a little more condensate. On the other it may be a little bit of a negative as they can get it to some of your competitors where you've had a very nice position with your Corpus Christi. Net-net when you look at the spread you've gotten over competitors on condensate from the Eagle Ford. Does that get better or worse for you over the next couple of years?
James L. Gallogly: It's been very good to have first a day. Remember Corpus Christi, it’s right there in the heart of the Eagle Ford. So there is a transportation advantage. It's been very difficult to get all of that out. Just like the comment I made before on propane, over time the E&P guys will figure out how to move this, but it's still a plus overall. Maybe we won't a stronger competitive advantage and there will be a pipeline discount, but right now, we're barging into our Channelview side and we're able to take it almost straight off the local pipes there in Corpus, so today it's a nice advantage, some of that will be moderated.
Duffy Fischer – Barclays Capital, Inc.: Great. Thank you very much guys.
Operator:  Your next question comes from Don Carson, Susquehanna Financial.
Don D. Carson – Susquehanna Financial Group: Good morning. Jim, question on, you talked about the turnarounds at OP-1 and OP-2 in 2012. What kind of a tailwind does that give you going forward into 2013 in terms of additional capacity or just not having to device spot product?
James L. Gallogly: Yeah. We did OP-2 in 2011 and then OP-1 in 2012, they had both down to a little bit, because utilities in 2012, but we Clinton this year, but we have got a big turnarounds in the rearview mirror. And so we’re felling pretty good about where we are at, that was part of our strategies, get it done.
Don D. Carson – Susquehanna Financial Group: And am I correct in recalling that was about $100 million header so to 2012 earnings from OP-1 data?
James L. Gallogly: Yeah, Don, I remember the precise numbers. But let me give you a kind of a context of the turnaround activity and in 2012, where we had one olefin unit down for about seven week or so turnaround and we had the other one down for about three weeks at Channelview. So you had that many cumulative weeks of 1.9 billion pound olefin plant down. This year what we are going to do is, we are going to have to turnaround later in the year at Clinton. Now Clinton is about 1 billion pound facility. So that’s half the size and just the one facility versus the two. So I think that will give you a bigger context on what’s even, where is the market is for everything. 
Don D. Carson – Susquehanna Financial Group: Okay, thank you.
Douglas J. Pike: I think we are going to try – if you can limit yourself to one question, we will try to take another maybe two or three questions if we can. 
Operator:  Your next question comes from David Begleiter, Deutsche Bank.
David I. Begleiter – Deutsche Bank Securities, Inc.: Thank you. Jim, just on ethane, as we hit these rejection limits, would it surprise you if we saw ethane prices drop below $0.20 a gallon for a period of time?
James L. Gallogly: A bit depends on natural gas prices. Obviously, we saw those kind of numbers and even better in the Midwest at one point in time. It's hard to say. I never try to forecast prices, but recently natural gas prices have to come down and we are still in the depth of winter.
David I. Begleiter – Deutsche Bank Securities, Inc.: Thank you very much.
Operator: Your next question comes from Jeff Zekauskas from JP&C.
Jeffrey J. Zekauskas – JPMorgan: Hi good morning, some people think that global ethylene utilization rates are in a very high 80’s and some people think that they are in the I guess the mid to low 80’s, where do you stand on that?
James L. Gallogly: Yeah, in Europe there in the mid to low 80’s, we’re in the mid because we were short structurally, ethylene. So we run our crackers a bit harder than other folks. I think in the United States everybody who can run a pound is running a pound of full out, but some folks have tripped a little bit on operating results and there’s some turnarounds going on, and in Asia I think mid 80’s is probably about right.
Jeffrey J. Zekauskas – JPMorgan: So what about in the Middle-East?
James L. Gallogly: Middle-East everybody runs full out all the time if they can.
James L. Gallogly: Okay, thank you very much.
Operator: The next question comes from John McNulty, Credit Suisse. 
Abhiram Rajendran – Credit Suisse: Hi this is Abi Rajendran calling in for John. Thanks for taking the question. In terms of exporting ethane out of the U.S., we’ve seen a few announcement of the agreements for moving ethane to Europe, can you touch on whether this is something you’ve looked into for some of your European crackers, if you think this will be a meaningful thing for some of the ethane supply coming on over the next couple of years, and any impact to pricing?
James L. Gallogly: Well, there is a very, very limited amount of ethane done by one company that had facilities in place, but it's just really not an economical thing to do. If it was Middle East, ethane would have been moving out many, many years ago. So I don't think that's going to have any measurable impact in the United States.
Douglas J. Pike: I think we’re – I am going to have to wrap up there. And so I apologize if any questions we weren’t able to take. And Jim can you make a few comments to close the call off for us.
James L. Gallogly: Yeah, thank you Doug. We did have record 2012 earnings, industry leading stage performance and I think operational results. We are a company with intense discipline on cost, our 13,000 plus employees work really hard. If you compare the number of people we have compared to our competitors, they are very, very efficient group. We’ve been very disciplined in the way that we spend your capital. We’re looking at cheap, quick, but sizeable olefin debottlenecks at La Porte, Channelview, Corpus Christi. We are trying to beat our competition to the market. We’ll talk much more about this in the Investor Day in New York City in a couple of months. We’ve demonstrated a track record of fiscal discipline. We brought down debt and Moody’s now has assessed us an investment grade company. We underspent the capital budget by several hundred billion dollars last year. We returned $2.4 billion in dividends last year. I think you now understand our balance sheet policy. It hasn't changed over the last few years. We returned discretionary cash to our shareholders, either in the form of special dividends or share repurchases. One thing that I'd like to close on is, when I joined this company is 2009, there was a bankruptcy. I said we would turn this into the number one competitor in our industry. We're not there yet today, but we're getting pretty close. We remain focused on that goal. We will be the top competitor before you. Thank you very much.
Operator: This does conclude today’s conference. Thank you for attending. You may disconnect at this time.